Operator: Good morning, everyone, and welcome to Portland General Electric Company's first Quarter 2025 Earnings Results Conference Call. Today is Friday, April 25, 2025. This call is being recorded. And as such, all lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer period. If you would like to ask a question during this time, simply press star, then the numbers 11 on your telephone keypad. If you would like to withdraw your question, please press star 11 again. If you do intend to ask a question, please avoid the use of speakerphones. For opening remarks, I will turn the conference call over to Portland General Electric's Manager of Investor Relations Nick White. Please go ahead, sir.
Nick White: Thank you, Shannon. Good morning, everyone. Happy you could join us today. Before we begin this morning, I would like to remind you that we have prepared a presentation to supplement our discussion, which we will be referencing throughout the call. The slides are available on our website at investors.portlandgeneral.com. Referring to Slide two, some of our remarks this morning will constitute forward-looking statements. Caution you that such statements involve inherent risks and uncertainties and actual results may differ materially from our expectations. For a description of some of the factors that could cause actual results to differ materially, please refer to our earnings press release and our most recent periodic reports on forms 10-K and 10-Q which are available on our website. Turning to slide three, leading our discussion today are Maria Pope, president and CEO, and Joe Terpic, senior vice president of finance and CFO. Following their prepared remarks, we will open the line for your questions. Now it's my pleasure to turn the call over to Maria.
Maria Pope: Good morning, and thank you all for joining us today. Portland General Electric announced advanced key priorities in the first quarter. Laying the foundation for solid results diligent cost management and strong execution in 2025 and beyond. Beginning with slide four, I'll speak to our financial results and key drivers. For the first quarter, reported GAAP net income of $100 million or $0.91 per diluted share. This compares with first quarter 2024 GAAP net income of $109 million or $1.08 per diluted share. And non-GAAP net income of $123 million or $1.21 per share. Our first quarter results reflect the continuation of strong load growth from high-tech and data center customers. Who drove 4.6% total load growth and industrial load growth of 16.4%. Compared to the same quarter last year. PGE serves five large semiconductor customers and over 10 significant data center providers. That are spread across dozens of sites. Making up nearly a quarter of our total deliveries. This growth is driving important capital improvements and upgrades across our transmission and distribution systems. These investments advance critical energy security and resource adequacy goals shared by customers the communities we serve. And also address aging infrastructure needs and enable the economic engine of our service territory. Many of these customers have aggressive clean energy goals that align with our municipal and residential customers. Who make our clean energy program number one in the country according to NREL. Our strategy drives our work, to build the reliable, affordable, and increasingly clean grid of the future. Including the ongoing 2023 and 2025 RFPs. And the forthcoming 2025 IRP update. Customer prices, are central to our strategy and are playing and we are paying close attention to the evolving federal policy landscape and advocating for the continuation of renewable investment and production tax credits. Credit transferability, and other provisions under the IRA and IIJA, as well as closely following the ongoing ongoing tariff situation. Our commitment to address system resilience, advance clean energy priorities, and provide safe, reliable, and affordable energy for every customer we serve. It is important today as ever. Turning to wildfire risk. We're actively engaged with key stakeholders, legislators, the governor's office, the OPUC, the Oregon Department of Forestry, first responders, and other utilities. And customers. As we work towards solutions that address the societal risk of wildfires and other extreme weather. Our mature year-round wildfire mitigation work is advancing as we deploy lessons learned from recent wildfires and sharpen our practices ahead of summer. In 2025, we plan to spend over $120 million on wildfire mitigation, including capital investments and O and M. We're working with elected officials and stakeholders on legislation to address the financial risk from wildfires. A bill was introduced in February to create a standard of care for utility wildfire mitigation and establishes a safety certificate process to be managed by the OPUC and tied to our wildfire mitigation plan. Creating clear standards for the work utilities do to prevent wildfires and keep communities safe is essential. Our clear standards reduce the likelihood of wildfires being triggered by utility equipment as well as enhanced services liability. Lowers customer costs, and provides economic stability for Oregon's communities. We're pleased to see continued progress on this important policy. While proposed legislation to create a catastrophic wildfire fund has not moved forward, the ongoing dialogue with stakeholders represents productive progress. Pacific Northwest states are just beginning to grapple with the liability issues related to wildfire risk. And as I said in our last call, these policies may take more than one session to achieve. The work we're doing to address and manage risk by executing on our wildfire mitigation plan and working to find societal solutions for the risk of wildfire in extreme weather helps with affordability and protects customers. When it comes to affordability, there are several areas that also come together to reduce upward customer bill pressure. Growth. Serving a growing customer base allows us to spread out operating costs and investments over larger volumes of business. Cost management, Our company-wide work to reduce O and M costs is well underway. We're evaluating every program and reducing costs to help keep customer prices as low as possible. Joe will cover this work in greater detail in his remarks. As discussed on our previous call, we're working towards updating PGE's corporate structure to enable a holding company. This is a common structure in the industry, in fact, most common structure. And will help enable increased flexibility in how we finance our business. As we look ahead, Portland General Electric team is focused on managing our business with discipline and foresight, diligently controlling costs and risk management, and seeking competitive returns to effectively attract investment. Delivering value to customers, communities and shareholders. With that, I'll turn it over to Jill. Jill?
Joe Terpic: Thank you, Maria, and good morning, everyone. Turning to slide five in our Q1 results reflect strong energy demand from our industrial customers and ongoing system investments. Q1 2025 loads increased 4.6% overall or 4.4% weather as compared to Q1 2024. Q1 2025 residential load decreased 0.8% quarter over quarter or 1% weather adjusted. Residential customer count increased by 1.6%, which was offset by energy efficiency driving lower usage per customer. Commercial load remained relatively flat with a slight increase of 0.8% or 0.3% weather adjusted. We observed another quarter of choppy growth from the industrial class this quarter. Industrial load increased 16.4% on both a nominal and weather adjusted basis. As recent load growth trends from data centers and semiconductor customers continued. These results are aligned with our 2025 plan, and as such, we are reaffirming our 2025 weather adjusted load growth guidance of 2.5% to 3.5%, and our long term load growth guidance of 3% through 2029, based on our current expectations. I'll now cover our financial performance quarter over quarter. We experienced a 7¢ increase in total revenues driven by a 14¢ increase from the 4.6% low growth 4.6% growth in deliveries partially offset by a 7¢ decrease in revenues due to delivery composition changes. A decrease from power cost of 8¢ driven by a 17¢ EPS decrease due to power cost performance in 2024 that reverses for this comparison. And a 9¢ increase from favorable conditions, which drove lower power costs than anticipated in the annual update tariff. Overall, we are slightly below the PCAM baseline. In Q1. An 18¢ EPS decrease from operating expenses made up of 4¢ of O and M, net of improved recovery and deferral related items driven primarily by the timing of wages and benefits and professional service costs. 11¢ from higher depreciation and amortization, and 3¢ from higher interest expenses driven by higher debt balances in support of the ongoing capital investments. And lastly, an 11¢ decrease from other items, including 8¢ from dilution from recent equity draws and 3¢ from other miscellaneous items. Turning to slide six. For our five-year capital forecast, which remains consistent with our last disclosure. The incoming seaside battery remains on track to come in service at the June and will complement our existing battery portfolio during peak summer usage. We are advancing our regulatory strategy for seaside in Q2, consistent with our expedited option introduced in the 2025 GRC order as we will seek recovery of this important asset that will soon serve customers. Beyond that, we're constructively engaging with parties as we evaluate our long-term regulatory path. While the timing and scope remains fluid, we are focused on options that balance our commitment to affordability while recovering key capital serving customers. On the resource planning and procurement front, we are continuing through negotiations with the 2023 RFP bidders and still expect contract finalization in the second half of the year and projects in service by the end of 2027 under current conditions. Filing of the 2025 IRP update will be made later this quarter. And will support the 2025 RFP process. Which has advanced through preliminary stages will fully launch in the second half. As Maria mentioned, we are keeping an eye towards federal policy development including tariffs, changes in the inflation reduction act, tax policy, and other relevant legislation that may impact our base capital plans or renewable procurement. This is clearly a dynamic situation, but we are engaged in all fronts with suppliers, customers, regulators, policymakers, and other stakeholders as we evaluate collective impacts. On to slide seven, for our liquidity and financing summary. Total liquidity at the March was $948 million, and our credit rate ratings and outlook remain unchanged from the last quarter. We executed $310 million of first mortgage bonds at the March and anticipate up to $140 million more of debt financing later this year to support our capital investment plan and general corporate purposes. We priced an additional $87 million under the ATM program in Q1 as we deliberately execute our base financing plan remains at $300 million per year for 2025 and 2026. The growing needs of customers, clean energy progress, our commitment to affordability are pushing us towards new solutions that unlock value for our customers and stakeholders. Expanding our financing flexibility remains a priority. And as Maria noted, we are pursuing updates to our structure, including a holding company for formation. After making solid headway in Q1, our teams remain focused on advancing key priorities for the balance of 2025. This includes deploying intentional cost management measures to realize the lasting efficiencies and the right cost structure. This builds on the foundation we laid in 2024 to identify strategies that improve the efficiency and effectiveness of our work and support lasting strong performance. Implementing this plan is challenging but important. As we find ways to streamline our operations utilizing tools and technology to do high impact work at lower cost. This is critical to support our commitment to customer affordability and bolster our culture of to consistently deliver our on expectations. Given our progress to date, we are confident in the path forward and our strategy that underpins our near term and long term outlook. As such, we are reaffirming our 2025 adjusted earnings guidance of $3.13 to $3.33 per diluted share and our long term earnings and dividend growth guidance. Of 5% to 7%. We look forward to continued execution for the remainder of the year as we focus on safely delivering reliable, increasingly clean, and affordable energy to our customers and the communities we serve. And now, operator, we are ready for questions.
Operator: Thank you. As a reminder to ask a question, please Our first question comes from the line of Julien Dumoulin-Smith with Jefferies. Your line is now open.
Julien Dumoulin-Smith: Hey. Good morning. Appreciate the time, guys. Hey. Just wanted to come back on the and just wildfire context. Obviously, you know, you you heard the comments earlier. How are you thinking about the progress? And and more importantly, just where you're making progress, where you aren't specifically in setting expectations, whether this year or next year, just to to lay the groundwork? Because, obviously, I think that's kind of linchpin of some of the other subsequent decisions. Right? Like like a holdco, it seems. From a timing perspective.
Maria Pope: So it you're you're spot on with regards to the timing. With regards to progress that we're making, one of the things I think that has really been evident is there are a lot of legislators that really were not aware of the extensive wall mitigation plans that we put in place, the extensive increase in vegetation management and work that we've done in system hardening over the past number of years. And so there was a lot of discussion over really what it takes the costs, and the significant increase in costs over the last couple of years for wildfire prevention and mitigation. One of the things that I think is also interesting is that wildfire presents itself very differently in different parts of state. So we've had a lot of discussions by experts as well as others Where we have really excelled is with regards to a certificate process. And that has been very important in terms of establishing a well known and well understood standard of care. Not unlike what you would see in the medical field or in engineering fields or in many other fields. And then where we have much more work to do is with regards to a fund and then also limitations of liabilities associated with accessing that type of fund to the customers can get access to funds much faster than they would through other processes. We have a lot more work to do there. And I think you'll see that the continuation of discussions, even after the legislative session should be very productive.
Julien Dumoulin-Smith: Excellent. Thank you. And then just on the if I can if I can follow that up real quickly here with with where you stand, I mean, you've got the five to seven CAGR out there. And and certainly, that's dependent on seeing the financing come through with with a certain level of dilution. You know, when you think about the decision to follow through on CapEx as we see today, I just wanted to get your sense of confidence. Right? We have know, public statements here. From others saying we're gonna focus on affordability. At the same time, we're not seeing the follow through on the wildfire legislation, whether in '25, maybe it happens in '26. But at what point do you say, look. We're we're gonna pull back on growth because the broader construct is telling us to to reassess here? I mean, it's it's it's a difficult backdrop. I appreciate what you guys are doing, especially from cost containment perspective, and I wanna highlight that here. But at the same time, so many different pressure points here. Is there a certain moment where you say we're we're gonna reassess?
Maria Pope: Yeah. I think it's a good question, Julian. It's one that we ask ourselves continually. Quarter excuse me, on the first quarter call in February as well as previous We always thought that the discussion with regards to addressing wildfire in Oregon would take two sessions. And I I'm very appreciative of representatives Marsh and Mannix for the tireless work that they have done with regards to both bills, but in particular with regards to safety certification. As we move forward, you're right. We're looking at our ability to be able to adequately recover costs and deliver competitive returns and competitive growth for investors. Excellent. Well, look. I'll I'll I'll
Julien Dumoulin-Smith: Maybe just last quick one on timing on the RFPs and any any updates there just as far as it goes? Because, obviously, that it your outlook is pretty to that. Just you could just clarify what you're saying on that front, and I'll leave it there.
Maria Pope: So we couldn't be more pleased with the negotiations as they're progressing. Obviously, in the external and global, as well as national environments, there's a lot of noise. But our customer base is growing. Our customer base continues to be focused on clean energy. And we look forward to concluding the negotiations as we go through the balance of the year and bringing on projects in the 2027 time period. I would note that from the last projects we brought on, we're already seeing tremendous advantages of the battery storage In fact, we've seen upwards of just under 10%, a certain periods of time coming from our battery storage. Enabling lower cost energy to be delivered to customers and really taking advantage of the variability across the entire West.
Julien Dumoulin-Smith: Awesome. Hey. Thanks for the time, guys. Hang in there. We'll speak soon. Alright? All the best.
Maria Pope: Thanks. Thanks, Julian. Our next question comes from the line of Michael Lonigan with Evercore Evercore ISI. Your line is now open.
Michael Lonegan: Good morning. Morning. Thanks for taking my question. You have obviously, you've seen strong industrial sales growth driven by semiconductors and data centers. Now you reiterated your 3% long term load growth forecast. But given the tariffs and concerns about economic development, just wondering, are you prepared for a potential slowdown in this load growth and a slowdown in capital projects? Just wondering if you could talk about the options you have for you know, capital, potential reallocation, and then and then also what you're expecting in terms of capital inflation.
Maria Pope: Yes. So so first of all, with regards to our industrial base, it's it's primarily, three areas. The first is a quarter of it is really traditional industrial customers. A quarter in our fastest growing area is semiconductors excuse me, is data centers. That's the fastest growing area by far. And then about half is semiconductors. We are watching the global market for semiconductors very closely. And between all three of those sectors, we remain very confident in our growth as we move forward. In terms of overall inflation, we've actually seen a moderating of inflation in terms of costs that are impacting us. Would imagine that our customers are seeing somewhat of the same thing. Obviously, does not come and take into consideration all discussions with regards to tariffs that are taking place nationally and globally.
Michael Lonegan: Great. Thanks. And then you know, you've talked about monetizing tax credits, you know, to manage your financing plan. Just wondering how much monetization does your plan currently account for per year? And then you know, in the event you know, there was no longer any, transferability, what would be your approach to plugging that gap, you know, potentially more equity?
Maria Pope: I don't know. Joe, do you wanna address that?
Joe Terpic: So as it relates to our to our base plan, the the only tax credits are really contemplated in our financing are the ones related to the the seaside project that's that's about to come online. After that, our our base plan and investments in our base plan, do you not have any additional ITCs or PTCs. We we do have I shouldn't I should say, a small monetization of our our PTCs over time, but they're not significant to our financing. As it relates to our growth, when when we consider the potential participation in in the RF we we would anticipate, you know, they that there are there can be ITCs in there, but we look at those first as a benefit to a cost reduction to our to our customers, and then they obviously do have the ability to take some pressure off of our our financing. I I should say with the ITCs and PTCs that we we've had that we've monetized to date and and the ones that are coming, we continue to see strong interest in in the ability to monetize those investments. So, I mean, I in short, baseline, you know, other than Seaside does not rely on on the ITCs and and long term that is really the ITCs or ITCs are as much about affordability for our customers and and effective pricing. Great. Thanks for taking my question.
Maria Pope: Thank you. Our next question comes from the line of Richard Sunderland with JPMorgan. Your line is now open.
Richard Sunderland: Good morning. Hey. Good morning. Thanks for the time today. Picking up the RFP conversation, you see any need or potential to pivot resource out of the 2023 RFP and into the 2025 RFP to update pricing for let's say, tariff or supply chain impacts?
Joe Terpic: Thanks. Good morning. You know, as it relates to pricing and, you know, this isn't very dissimilar from what we saw in 2021 that the these type of changes are are, you know, are contemplated. So we we don't at this point, think there's a a need to to roll pull forward. We have a pretty adaptable process. The dialogue that we have with the the RFP group right now continues to contemplate these these uncertainties. So at least the at this point in time, we believe there are enough vehicles within the actual standing RFP process to adjust as we move in 2021 You know, if you recall, there were some there were some pricing increases as well as some clarity in the IRA There was a net increase that we were we were able to work through subsequent to to the RFP process getting through into the selection.
Richard Sunderland: Got it. And and does that hold true for the batteries in the 2023 RFP? I mean, are are those being sourced from China?
Joe Terpic: The the as it relates to the batteries, we we haven't disclosed where they're where they're sourced from yet, but, obviously, you know, batteries overall a majority coming from from overseas. But, you know, in our dialogue with with the parties, we are contemplating ways to address the the way that tariffs could impact their batteries assuming that you have have that exposure. And we continue with with that dialogue to be on track here to be able to execute here in the in the second half of the year, for these these RFPs.
Richard Sunderland: Okay. Got it. That that's helpful. Then turning back to some of the comments in the opening script, Maria, I know you mentioned growth as one angle to address affordability. I'm curious if you can speak a little bit more to I guess, the relationship with that data center customers and how you're getting the right structure with them on minimum guarantees, costs overall, in in, you know, sort of avoiding that cross subsidization onto existing ratepayers What's the overall landscape look like in terms of sort of paying your fair share, if that makes sense?
Maria Pope: You know, it's an excellent question, and it's something that we're spending a lot of time talking about both in the regulatory and in the legislative arenas. In fact, there is legislation to address this as we speak. Overall, the impact is in several areas. The first is just overall infrastructure. And as you can see, we've broken out a separate transmission area in our capitalization table. And it's really these new large customers, particularly data centers, that driving a lot of the need for transmission build out really in the first time and sometimes decades in our service territory. So there is a benefit overall for system reliability. With regards to distribution, some impact there. Certainly. But most overall, what you really see is a change in the market price of power. As the increasing demand comes from data centers, whether we are serving them or other utilities in the Pacific Northwest. And we need to be doing more direct procurement for those, and we do have some programs that allow for that already. And we're working directly with customers. I would also say that the data centers bring additional stability to the grid. We have some data centers that are bringing battery stores. We have some that have backup many have backup generation. And that is something that we had been working on for years. And accelerated our virtual power plant process.
Richard Sunderland: Great. Thank you so much.
Maria Pope: Thank you. Our next question comes from the line of Nathan Richardson with Barclays. Your line is now open.
Nathan Richardson: Hey, everybody. How are you?
Maria Pope: Good morning.
Nathan Richardson: Just a couple of quick questions here. So I just wanna clarify. So I believe you said that you intend to do an expedited seaside case. I was wondering if there was any more details about that.
Joe Terpic: Gotcha. Yeah. So, yes, we we do plan, as you may recall, in the 2025 GRC, that was proposed to us. It's a bit, unique as not something we've we've done before. We're in the process of finalizing the the details with with the party through constructive dialogue. So we would expect that to be filed here sometime in in the coming you know, in the coming, you know, months. Days, you know, year, so shortly. You know, it's pretty simple as it as it relates to just clarifying the mechanism on on on when when and how we we recover the cost. But we think it you know, the dialogue's been productive today, and and so we, you know, we look forward to being able to file this and work forward with it. Got it. That makes sense. And then last one. So sequentially, the equity layer seems to have gone down a little bit. I was curious where you think you'll be at the end of the year with the current equity issuance in the plan? Then part two of that is what do you think they're trajectory is to get back to 50%? And do you have a rough timeline on that?
Joe Terpic: Yeah. So, you know, as as we mentioned before, we've we've drawn down as it relates to the to our students say, drawn down. We we've issued under the the ATM up to a a hundred a hundred million so far. Right? Our capital plan to date needs 300 Your current current pricing as it relates to the market, although not where we would would like it to be, is is somewhere that we believe we continue to make pretty, you know, investments that are not not dilutive here. We we think as we work forward here, we continue to be committed and think even at these kind of up prices, we can work towards our our fifty fifty cash structure going forward.
Nathan Richardson: Got it. Thank you very much.
Maria Pope: Thank you. Our next question comes from the line of Anthony Crodell with Mizuho. Your line is now open.
Anthony Crowdell: Hey, good morning, team. My question is probably follow-up on the last one. And Julien's on the holding company. I think Joe, you mentioned about targeting the $50.50. The it require the holding company to be established before you achieve the $50.50? As it relates to that our financing plan and our strategy to get to $50.50, which would would obviously be at the utility, is exclusive of and does not rely upon a a holding company strategy. That that is just our our our straight up plan. And then when when you think about the creation of the holding company, is there a targeted level of debt that that you would look to, you know, maintain at the at the holding company?
Joe Terpic: You know, you know, it's too early to get to on that. Obviously, we wanna use the holding company here to give us the flexibility to continue to be able to, you know, efficiently finance at and manage our our cost for the customer. But but today, you know, there's nothing specific other than the focus that the the holding company will drive flexibility, will continue to support a customer bet. And, you know, we expect over this this process, which I think we've mentioned would take up to a year, we'll get further clarity there just and and expect that we will stay within our with our reasonable norms for those type of those type of structures.
Anthony Crowdell: And and just I'm I'm not familiar with Oregon if there's any issues. In the state from a regulatory perspective on double leverage. If the equity and debt ratios at the holding company differ from that of the OpCo? You know, today, I I can't say that there's anything specific there. I do think that as we work through with, with the regulator here, we'll clarify through, you know, a set of agreements and stipulations on how the holding company will work. But if if you ask specifically to provisions as as it relates to that, I do not believe there are.
Anthony Crowdell: Great. Thanks so much for taking my questions.
Maria Pope: Thank you. Our next question comes from the line of Greg Oriole with UBS. Your line is now open.
Gregg Orrill: Good morning, Greg. Yeah. Good morning. Thank you. Just maybe you you hit this already. Just the timing of of pursuing the holdco proposal. So we filing something in the latter part of the second quarter.
Maria Pope: Okay. All right. That's the only question I had. Appreciate it. Great. Thanks. Thanks, Greg.
Operator: Thank you. And I'm currently showing no further questions at this time. I'd like to turn the call back over to Maria Pope for closing remarks.
Maria Pope: Thank you all for joining us today. We appreciate your interest in Portland General Electric, and we look forward to connecting with everyone soon. Thank you very much.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.